Operator: Hello, ladies and gentlemen, thank you for standing by for Emeren Group Fourth Quarter 2022 Earnings Conference Call. Please note that we are recording today's conference call. I will now turn the call over to Mr. Yujia Zhai, Managing Director of the Blueshirt Group. Please go ahead, Mr. Zhai.
Yujia Zhai: Thank you, operator, and hello, everyone. Thank you for joining us today to discuss fourth quarter 2022 results. We release our shareholder letter after the market closed today and is available on our website at ir.emeren.com. We also provided a supplemental presentation that’s posted on our IR website that we will reference during our prepared remarks. On the call with me today are Mr. Yumin Liu, Chief Executive Officer; Mr. Ke Chen, Chief Financial Officer; and Mr. John Ewen, CEO of North America. Before we continue, please turn to Slide 2. Let me remind you that the remarks made during this call may include predictions, estimates and other information that might be considered forward-looking. These forward-looking statements represent Emeren Group’s current judgment for the future. However, they are subject to risks and uncertainties that could cause actual results to differ materially. Those risks are described under Risk Factors and elsewhere in Emeren’s filings with the SEC. Please do not place undue reliance on these forward-looking statements, which reflect Emeren’s opinions only as of the date of this call. Emeren is not obligated to update you on any revisions to these forward-looking statements. Also, please note that unless otherwise stated all figures mentioned during the conference call are in U.S. dollars. With that, let me now turn the call over to Mr. Yumin Liu. Yumin?
Yumin Liu: Thank you, Yujia, and good day, everyone. Thank you for joining our call today. I'll give a high level summary of our full year 2022 results and then elaborate on recent strategic initiatives as well as to provide guidance for 2023. Then Ke, the Company's CFO, will review our financial results for Q4 in detail. After that, we'll be joined by our North American CEO, John, for the Q&A. Beginning with our financial performance. We closed the year with $81.4 million revenue 30.1% gross margin and $17.4 million EBITDA I made challenging market conditions caused by the Russia-Ukraine conflict, volatile energy markets, inflation, supply chain disruptions and rising interest rates. Despite these challenges, we continue to execute our core solar project development strategy, diversify our global footprint and the ones are positioning as a leading global solar company. Let me summarize our key accomplishments in 2022. First, we monetized about 192 megawatts of solar projects in 2022 compared to 128 megawatts in 2021. Sales primarily include 70 megawatts of utility solar projects in Pennsylvania, 12 megawatt of community solar projects in the U.S., 58 megawatts of utility projects in Poland and 12 megawatt utility projects in Germany. Second, we grew our project pipeline to a record 3 gigawatts. In the beginning of the 2022, we set a goal to grow our mid-to-late stage pipeline to 3 gigawatts at the end of the year. Thanks to our team’s strong execution in face of a challenging macro environment and our strategic acquisitions, we achieved that goal. Third, we acquired a 50 megawatts fully operational solar farm in Branston in the U.K., which initiated our European IPP strategy, which will add predictable and stable cash flows to complement our project sales business. Fourth, we acquired Emeren, an Italy-based utility scale solar power and battery storage project developer. Emeren has over 2.5 gigawatts of pipeline under development, at different stages, including over 2 gigawatts of solar projects and over 500 megawatts of storage projects. Additionally, we commercialized our first inaugural IPP project in Hungary. The 10 megawatts project is our first self-developed and self-constructed IPP project in Hungary, which is another project to our growing IPP assets in Europe. And lastly, we accumulated over 1.5 gigawatts of storage pipeline. We are optimistic that storage business initiatives and growing pipeline will become an important growth driver for the Company. We expect contribution from our storage business beginning from this year. Looking forward to 2023 and beyond, we are well-positioned in the world's fastest growing solar markets that are benefiting from increasing demand for clean energy, rising PPA price and supportive government policies. For our project development business, we continue to see strong demand for solar projects globally. We entered 2023 with 3 gigawatts of high quality mid-to-late stage pipeline and we anticipate to monetize approximately 400 megawatts to 450 megawatts in 2023 and we are targeting to grow this pipeline to 4 gigawatts by the end of 2023. Beyond 2023, we are targeting to monetize a minimum 500 megawatts to 600 megawatts a year. We are excited for strong contribution from our recent acquisitions, Branston solar farm and Emeren platform. We expect these assets to contribute approximately $20 million revenue and $10 million EBITDA in 2023. Regarding our IPP strategy in Hungary, as a result of S&P and Fitch’s negative revision to Hungary’s credit rating in January 2023 due to persistently high inflation, economic weakness and external foreign policy pressures, we have decided to explore the sale of our previously announced 50 megawatts of projects in Hungary, which we expect to close sometime in the first half. For our IPP strategy in Europe, including Poland, we will continue to build our planned 50 megawatts of projects but now anticipate the completion to be closer to the end of 2023. In China, we are aligning our strategy to the rest of the world as “Develop – Build - Own or Sell”, compared to the original strategy of “Develop - Build - Own as IPP”. In conjunction, we are refocusing our efforts to five provinces that have the most favorable power prices and regulatory environment. We anticipate selling all our solar assets outside of these five provinces and some in these five focused markets, which will help strengthen our balance sheet. Moreover, China made some payment of its previous renewable energy subsidies at the end of Q4 2022 and Q1 2023, of which we received approximately $8 million. This is extremely positive for the sector and increases the value of our assets in China. In terms of guidance, we expect 2023 full year revenue to be in the range of $140 million to $160 million. We expect gross margin to be approximately 30% and net income to be between $17 million to $21 million. Ke will provide more details on our guidance momentarily. Now let me turn the call over to our CFO, Ke Chen, to discuss our financial performance. Ke?
Ke Chen: Thank you, Yumin, and thanks everyone again for joining us on the call today. I will now go over our financial results for the fourth quarter. As a reminder, a non-GAAP to GAAP reconciliation is included in our shareholder letter. We use non-GAAP measures because we believe we provide useful information about our operating performance that should be considered by investors along with the GAAP measures. Q4 revenue was $40.8 million up 41% sequentially and 79% year-over-year, largely driven by our project development business in Europe, the U.S. and the contribution from our Branston acquisition. GAAP gross profit was $11.1 million up from $8.5 million in Q3 2022, and $7.2 million in Q4 2021. The gross margin was 27.2%. Turning to our operating expenses. Operating expenses were $6.2 million compared to $3.5 million in Q3 2022 and $8.7 million in Q4 2021. Net income attributable to Emeren Group Ltd common shareholders was $4.8 million. Net income per ADS was $0.08 compared to $0.05 in Q3 2022 and a net loss per ADS of $0.02 in Q4 2021. Cash used in operating activity was $7.8 million. Cash used in investing activity was $0.2 million and cash used in financing activity was $5.4 million. Now let's review the balance sheet. Our cash balance as of Q4 2022 was $107 million compared to $123 million at the end of Q3 2022. The decrease was primarily due to the Emeren acquisition constructing of our projects in Poland and Hungary. Our debt to asset ratio at end of Q4 decreased to 11% compared to 12.8% in Q3 2022. Moving to our guidance. For 2023, we are changing our near term guidance approach for the first half instead of just quarter due to timing of project sales. For the first half of 2023, we expect revenue to be in the range of $70 million to $75 million. We expect gross margin to be between 24% to 27%. Now we would like to open the call for any questions. Operator please go ahead.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Donovan Schafer from Northland Capital Markets. Your line is open.
Donovan Schafer: Hey, guys. Thanks for taking the questions. First, I want to ask about the market in Poland, PD Tech magazine had a two part series out this month titled: Poland's Rise to European PV Heavyweights. And in that, they talked about the northern – I think it was in the northern part of Poland. There were – there are some challenges with grid congestion because there's capacity on the grid being reserved for wind projects. But then in Southern Poland, I might have those reversed, but I think that was right. Southern Poland, it was still pretty easy to get interconnections. So I'm curious if that's your experience, if you guys are kind of more in the north or the south and if this has anything, if there's any connection here to kind of the delay you talked about bringing the Poland projects on in the second half of the year versus kind of your earlier thinking?
Yumin Liu: Thank you, Donovan. This is a very good question. In fact, that is exactly the challenges we are facing in Poland. We are -- we were preparing for the 50 megawatts in Poland IPP, gradually in the 12 months, spread out. But as of the congestions in the grid approval, that the start of the construction process gets a little bit delayed. We are looking at the -- towards the end of the year to connect the IPP portfolios in Poland. But even so, our projects in Poland remains to be very diverse across both south and north. And Poland remains to be one of the biggest markets for our company in Europe.
Donovan Schafer: Okay, great. That's helpful. And then turning to China, I'm curious if you can give us an update on the process of selling off some of the assets in the prepared remarks and in the letter to shareholders. It sounds like there is some improvement there with the subsidy payments. I think before -- and correct me if I'm wrong on this, but I believe on the last -- on the third quarter call, you suggested you might sell as much as 100 megawatts in China in 2023. I don't know if that's still the case. Has anything changed there where you're not trying to sell off as much of those assets as quickly? And just kind of an update there would be great.
Yumin Liu: Okay. China, I see three major changes as I described earlier. One is we refocus our China development activities to only five provinces. In the past, we were working on projects in about 10 to 12 different provinces. Now we are more focused. Number two is we have over 160 megawatts of the projects spread out in about 10 different provinces and we have made the decision literally end of last year to get very focused sell all the projects outside of the five focused provinces and also even sell some of the projects in the five focused markets. So the number we are considering selling is around half of the current portfolio of 160 plus megawatts. So the ballpark just 100 megawatt number is not too big a difference as we talk about 70, 80 megawatts for now as our minimum target. The third one is we also have started our storage, commercial scale storage product development into [its own] (ph) province. And we do plan to focus on certain areas in those markets and build up those stores portfolios in China. The other one, I'd like Ke, would you comment on the subsidiary payment?
Ke Chen: Yes. Donovan, I just want to comment on the subsidiary payments. Again, at the end of December, we saw this subsidiary coming, which were surprised to everyone in the China market that drive up the value of all the projects in China. So, originally, we actually tried to sell around 5 to 6 megawatts in China in December. Because of these changes the valuation changes, we hold up about like four to five projects we didn't sell. We decided to delay that sell in 2023 because of all these valuation changes. And again, in 2023, we continue to see this pattern of subsidiary payment even though there is some offsetting of timing. We believe Chinese government will continue paying some of these subsidies. So that really help us to reevaluate the valuation of all our China assets, which is very beneficial for us this year.
Donovan Schafer: Okay, that's great. And if I can get just one more question and I want to ask, with the converting to a New York based auditor who is subject to the public account PCAOB oversights, I know that addresses the -- I forget the name of the law that there was the thing that was threatening delisting actions. So you guys have taken that step. I'm curious if you had any more thinking about or any thoughts around whether you guys might consider converting to like a more direct listing in the U.S. instead of the ADR listing that you guys currently have it. Just curious if there have been any developments on that front?
Yumin Liu: Yes. Donovan, I think first of all, our shareholder structure has changed also completely. Most of our shareholders here in U.S. so that's good thing for us as we focus on the European and the U.S. market right now. Secondly, yes, we are changing auditor to match PCAOB rules. So again, the next step natural step for us is to file 10-Q, 10-K in 2024, which will give more transparency to the shareholders. And so that we will go from there to think about the next step what we should do if we should change it to a track listing instead of ADR?
Donovan Schafer: So you're saying that in 2024 it'd be 10-K filing and not a 20-F filing, is that it?
Yumin Liu: Yes.
Donovan Schafer: Oh, interesting. Okay. All right. Thank you, guys. I'll take the rest offline.
Operator: Thank you. One moment for next question. And our next question comes from the line of Philip Shen from ROTH. Your line is open.
Philip Shen: Hey guys, thanks for taking the questions. A quick follow-up on the China asset base. Given the subsidy payments that you got in December and the increase in the value of those assets, can you quantify in any way how much higher that value is now of your 168 megawatts on balance sheet. What was the aggregate value before? And then how much do you think it increased by? Thanks.
Ke Chen: We see two things, Phil. Number one is the value actually goes up as when we were or we had been the process, sales process, setting the projects, talking to our industry buyers. And we see the price is going up. So I don't want to discuss the details as we are still in the sales process for at least two portfolios in China. Okay. The second is we do see that not only us, but many, many solar companies have received during this period about three to four months' time starting from December last year to about February this year that received a total billions of subsidy payment. And that is a big encouragement to solar companies. And that is why we see more interest coming into the play into the game that people are hoping to own more solar farms, owning the catalogues. So with that in mind that we see the more buyers coming in and the value actually is going up.
Philip Shen: Great.
Yumin Liu: Phil, let me give you some color. Phil, we cannot talk about the actual pricing because it's very confidential, but from the people look at the accounts receivable discount. It used to be like 30% to 40%. Now this is only -- maybe only 10% discount. So that's how much has changed.
Philip Shen: Okay. All right. That's great. Thanks. Can you talk about how many megawatts of the China -- of the 168 megawatts you could sell in 2023? You talked about focusing on five provinces, but when you aggregate it all, what's the expectation in terms of how much you could sell this year.
Yumin Liu: Okay. The twofold. One is the other than the five focused markets, we have about 70 megawatts. And we target to sell all of them. And also in the five focused markets, we have another total new one the legacy ones probably another almost 100 megawatt will sell part of them. So that's the target. And that's why I mentioned earlier that our target to sell about half of our portfolio.
Philip Shen: Okay, awesome. Thanks, Yumin. So shifting over to your guidance, can you give us a sense for the mix? So of the $150 million midpoint revenue for 2023, what's the rough mix between IPP revenue versus monetization revenue? Would you expect to have a greater mix this year versus last year? And then can you also give the geographic mix? Do you still expect Europe to be the vast majority of your revenue or do you think the U.S. can catch up this year? Thanks.
Ke Chen: Yes, Yumin let me answer this. So geographically, first of all, I think I believe Europe was still most important market for us. I think we see roughly around 63% around Europe and from China around 22% and from U.S. 15%. So, that's the geographical breakdown. In terms of the business type, I think because we talk about -- again the COD sale in Hungary. So we're looking at again about 50% of revenue from there and also Poland. And roughly 33% like 32%, 33% from the NTP RTB sale and rest about 20% from IPP business.
Philip Shen: Great. Okay. Thanks for all the detail. Now you guys talked about the monetization presumed in your guidance is 400 to 450 megawatts of solar, how much storage is assumed in your 2023 guidance? Storage sales. Thanks.
Ke Chen: In fact, it's not included in this 450 or 450 megawatts. But we absolutely believe we will have either -- I don't disclose this number, but it will be a good contribution to the 2023 number, both from Europe and China and also part of them from the U.S. as we do have PB plus storage projects. We expect to sell them in 2023 in the U.S.
Philip Shen: Right. So in your $150 million revenue guidance for 2023, you have storage estimate or revenue contribution from storage in there. Is that there?
Ke Chen: Yes.
Philip Shen: Great. Okay. And you can't share from a megawatt hour standpoint, what that might represent? Is it a healthy fraction of the 400 megawatts, maybe like 100 megawatt hours? Is it that high or is that too high?
Ke Chen: No, I mentioned that in the revenue, yes, we considered, but the 400 megawatt of the number of the sale that's not usually the stock.
Philip Shen: Yes. Right. Okay. Well, we can talk more about that later I guess. One last question and I'll turn it over. In terms of the banking turmoil in the U.S., I know the vast majority of the business is not here in the U.S. but our view is that the market hasn't really changed. The cost of financing really hasn't changed too much for utility scale, but was curious if you could talk about what your customers are experiencing not just here in the U.S. but maybe also in Europe, if there's anything there to talk through. Is it even possible that the cost of capital is actually getting better maybe going lower for your U.S. customers because the base rates have come down so much and the spreads have not widened as much. So just curious if you can talk through how that banking turmoil in the U.S. is impacting your business and if there's anything to talk through for Europe as well? Thanks.
Yumin Liu: John, why don't you cover Europe and talk about U.S?
John Ewen: Yes. Again, we check all our customers, our clients, we didn't see any chance currently from Europe. And again, our customers and clients are -- I mean, -- again, banking system is sound and we were positive about all our relationship with them right now. We didn't see any change for right now.
Yumin Liu: Yes. I think to a point that when we sell our projects in Europe, we still see a strong long list of the interested parties. So we don't really see a change and even with the high PPA price as big demand in Europe, we still see the value or the very encouraging price offered to us and not really impacted by high interest rate.
Philip Shen: Great. Is that true for the U.S. as well?
John Ewen: Yumin, I can help you too. Yes, I was going to say, I mean, it's a little bit maybe of a frustrating answer, but keep in mind that even in the community side, we're dealing with projects that have a two to three year wavelength from start to finish. And on the utility side, it's longer than that. So a short term blip related to a specific bank's balance sheet or customer concentration risk or something like that, even though they do have a renewables lending business. Specifically, SVB wasn't an issue for us. I think the longer wavelength issue is the cost to borrow over multi -- even when folks buy our projects, they don't -- they haven't locked in necessarily the exact term financing that they're going to put in place in the large a super large project that still might be a year away from construction even though they've technically bought it from us. So the real answer is we're insulated from it just because we don't -- our deals don't move basis points when there's basis points moves from policy. That said, the longer wavelength issue of interest rates and cost of borrow absolutely will affect us long term. But the PPA and those are most likely related to inflation drivers or other macro policy stuff happening federally and the PPA rates are likely responding to that as well. And I maintain, I mean, it's a biased opinion obviously, but I maintain that the value of development stays constant and maybe gets even more valuable as the value -- as the presence or the availability of high quality development assets get smaller and smaller because there's literally fewer and fewer good places to put solar type thing. I think our – in the U.S. the development margin is more a function of the supply and demand of high quality development. Even though everything you said, yes, higher interest rates will make cost of money more expensive for the projects. But then again, PPA rates are also rising as well. So the sliver that we occupy in development stays pretty protected.
Philip Shen: Great. Thanks, John. I was actually making the argument that perhaps rates might be coming down for solar specifically because if rates are coming down and the spreads I don't think have widened as much for -- certainly for resi but I think also for utility scale.
John Ewen: Yes. But even on a resi deal, they -- the lifecycle of a resi deal might be six to nine months or something. It's been a while since I've really paid attention to what their sales cycles are for construction, but it's certainly shorter than ours. But yes, absolutely. I mean, I'd also probably use my argument against me and say, if there's quick movements down we wouldn't see that instantly, but eventually it would catch up with us.
Philip Shen: Great. Thanks very much guys. I'll pass it on.
Yumin Liu: Thank you, Phil.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Pavel Molchanov from Raymond James. Your line is open.
Pavel Molchanov : Thanks for taking the question. Last time we connected, I guess it was in November there was still a lot of fear in the European electricity market about what would happen this winter and of course since then we've seen a pretty dramatic decline in coal prices, natural gas prices and therefore power, I'm curious how the current state of project economics from your perspectives compares to what we saw last year. But if we zoom out a little bit, how does it compare relative to historical levels as well?
Yumin Liu: Very interesting question, Pavel. The quick answer to this one is the current merchant price of the Europe in most countries are still in around $150 per megawatt hour, which is significantly higher than the normal predicted curve back to 12 to 18 months ago. In our financial model back to 18 months ago, I'm talking about the end of 2021. In general, we used about $80 around in the PPA price and now you hear $150, it's around two times. So the tariffs still provide us very healthy economics to the solar farms. That is why the development of business in the solar project side is still very, very healthy. And then, also another point is in many countries in Europe as of this strong demand of the solar, the banks allows for even merchant level financing. It was not the case back two, three years ago. But now as the price, they pretty firm with the high demand in Europe the merchant based financing is very possible in quite several countries.
John Ewen: Yes, Pavel, I just want to add again Hungary, we have 10 megawatts. Today merchant price stood at EUR150 per megawatt hour. And our Branston project, we did sign full year PPA, long term PPA average over 150 ton per megawatt hour. So for us, we are still pretty good.
Pavel Molchanov : Staying on the European topic, you discussed macro headwinds in the Hungarian market, thinking about the opportunity kind of from the opposite perspective, are there any operating, but you're seeing interesting opportunities to perhaps establish a presence. [Technical Difficulty] you are seeing interesting opportunities to perhaps establish a presence.
Yumin Liu: Pavel, I missed yours a little bit, couple of points, but let me try to understand. You talk about Hungary only or generally Europe?
Pavel Molchanov : Well, are there any countries in Europe where you are considering establishing a presence?
Yumin Liu: Yes. The Hungary, we will be at Hungary for over six years by far or even a bit longer if we talk about all time module sales. We still believe Hungary is an important good market for us doing project development. Although we decided not too long ago, as of the rating change to sell our long term plan, long term IPP assets, okay? But in other countries, if you pay attention to the market, we are currently in literally the seven countries in Europe. We have most of them very, very high level country credit rating, okay? And we do plan to do in more countries, not only development, but also apply our general IPP strategy. For example, not beyond UK we are considering some other countries like Spain, like Italy, like France and beyond Poland too. All those countries we are considering building IPP assets.
Pavel Molchanov : Understood. And then lastly, switching to the United States, throughout last year, module supply was a problem for a variety of regulatory and protectionist reasons, is it fair to say that today module supply is back to let's say pre-COVID normal levels?
Yumin Liu: Yes and no. John do you want to pick up?
Ke Chen: Okay. In the U.S. in fact, I would not say that we are getting to the level of the pre-COVID, but in fact the price is better than the pre-COVID as I see it. The thing I say is not as good as pre-COVID is the forecast of the pricing trend. Pre-COVID, like three years ago, people forecasted the price of the modules per watt will go to $0.20 or lower. And it's not the case and jump to doubled instead of $0.20. And Europe is actually going that way pre-COVID or even going to more aggressive going into 12 months from today. But the U.S. I don't see those below $0.20 module price that I see is absolutely lower than the pre-COVID price.
Pavel Molchanov : That's very helpful. Thank you.
Yumin Liu: Thank you, Pavel.
Operator: Thank you. [Operator Instructions]. Our next question comes from the line of Amit Dayal from H.C. Wainwright. Your line is open.
Amit Dayal: Thank you. Good afternoon everyone. Could you give us a little bit more color on the storage business model? Are these basically sales that are attached to your project sales or your IPP build out? And how the margins for the storage side of the deployment comes through for you guys?
Yumin Liu: Okay. The storage business is really different from country to country or region to region. U.S. we have the biggest portfolio of the storage at PV Plus that's attached to the solar farms. That is one side of the story. Similar thing in some European countries like in Poland, in Italy, in France, but at the same time that we are also developing independent standalone storage facilities, in U.S., in Poland, in Spain, in France, in Italy, okay? I will say, as we announced that we have over 1.5 gigawatts not gigawatt hours, gigawatt of storage portfolios. And I would say above 60%, 70% of them are attached to the solar farms in all different countries, but the another at least about 600 megawatts, 700 megawatts are minimum. Those are independent solar storage facilities. In China, we are also developing smaller scale or we call commercial scale storage facilities focusing only in certain markets. [Indiscernible], for example, as we do see the opportunity to make pretty nice margin building up the need or building up the facilities to meet the need of the customers. And storage, as we mentioned, it will become a very good factor starting this year contributing to our numbers in -- to the company.
Amit Dayal: Okay, understood. I have some other questions on this, but I'll take that up with you after this call. And then just one more from me on the net income guidance, are you factoring any uptick in interest income from the cash balance that you have?
Ke Chen: Yes. We are very conservative. You're right. Yes. We're taking advantage of a high interest deposit.
Amit Dayal: Okay, understood. Yes, that's all I have for now. My other questions are already addressed. Thank you.
Yumin Liu: Thank you, Amit.
Operator: Thank you. And I'm not showing any further questions in the queue. I'd like to turn the call and turn it back to Mr. Liu for any closing remarks.
Yumin Liu: Thank you, operator. We are thrilled to share our strategy is rock solid and our execution record is outstanding. Our profitability is constantly under rise and we are pumped up with excitement for the opportunities that lie ahead. We can’t wait to keep you updated on our progress in the coming months. And we sincerely thank you for being a part of this journey with us. If you have any inquiries, please do not hesitate to reach out to our Investor Relations team. This concludes our call today. You may all disconnect.